Operator: Good day. My name is Dennis. And I'll be your conference operator today. At this time, I would like to welcome to the Global Ship Lease Second Quarter 2022 Earnings Conference Call. [Operator instructions] After speakers' marks, there will be question-and-answer session. [Operator Instructions]. I would now like to turn the conference over to Mr. Ian Webber, CEO of Global Ship Lease. Please go ahead.
Ian Webber: Thank you very much. Good morning. Good afternoon, everybody. Welcome to the Global company's second quarter 2022 earnings conference call. The slides that accompany today's presentation are available on our website at www.globalshiplease.com. Slide 2 and 3 of that presentation remind you that today's call may include forward-looking statements that are based on current expectations and assumptions and are by their nature inherently uncertain and outside of the company's control. Actual results may differ materially from these forward-looking statements due to many factors, including those described in the safe harbor section of the slide presentation. We also draw your attention to the risk factors section of our most recent Annual Report on Form 20-F, which is for 2021 and was filed with the SEC on March the 24 this year. You can obtain this via on our website or via the SEC. All of my statements are qualified by these and other disclosures in our reports filed with the SEC. We do not undertake any duty to update forward-looking statements. For reconciliations of the non-GAAP financial measures to which we will refer during this call to the most directly comparable measures calculated and presented in accordance with GAAP. You should refer to the earnings release that we issued this morning, which is also available on our website. As usual, I'm joined today by our Executive Chairman, George Youroukos; our Chief Financial Officer, Tassos Psaropoulos; and our Chief Commercial Officer, Tom Lister. George will begin the call with a high level commentary on GSL and our industry. And then Tassos, Tom and I will take you through our recent activity, quarterly results, and financials, current market environment, after which we'd be pleased to take your questions. Now turning to Slide 4, I'll pass the call over to George.
George Youroukos: Thank you, Ian. And good afternoon or evening to all of you joining us today. On our last quarterly call in early May, we noticed that the microenvironment contains significant uncertainty ranging from war in Ukraine to look downs in China to rising inflation around the world. We also at the time drew a contrast between those very real unknowns on the one hand, and the clarity and fixed nature of GSLs business and earnings on the other. These dynamics continue to define the current period, as questions about the macro environment grow more pronounced, while GSL continues to reap the benefits of a market segment with almost zero idle capacity and limited net fleet growth through the middle of the decade. Meanwhile, port congestion continues to tie up ships and potential labor disputes present the risk of further disruption to the learner sector and broader supply chain. Now turning briefly to the numbers. Throughout the first half of this year, the substantial uplift from our 2021 accretive growth and from locking in new charters at higher rates has doubled our EBITDA and more than troubled our normalized net income versus the same period last year. And we have continued to agree additional charters and extensions in 2022, including forward fixtures for 2023. Adding a further $435 million of contract cover for our fleet in the year-to-date. On the basis of the strong multi-year coverage, we were able to place $350 million of senior secured notes in a private placement during the quarter, simplifying our capital structure and reducing our cost of debt in a manner that strengthens us for the long-term. This paper was privately rated investment grade. And further improvements in our balance sheet were recognized in an improved outlook in our corporate rating from Moody's and the notch up to BB from Standard and Poor's. In line with a growing consensus from customers and other stakeholders. We have established good momentum on the decarbonization front. We're focused primarily on retrofitting our existing ships with proven technologies to improve their energy efficiency and reduce emissions. We have various projects underway in close collaboration with our liner operator customers. To ensure that efficiency and hence CapEx increases the commercial value of a ship and drives improved earnings going forward. We also monitor technically and commercially promising new carbon mitigation solutions in the market, including a compelling carbon capture technology, in which we made a small investment in the quarter. Concluding my opening remark, we're living in uncertain times. And the extraordinary volatility of the capital markets across all sectors reflects that. Against this backdrop, we maintain our conservative and risk adverse approach, extending forward conduct cover, building equity value by reducing our cost of debt, and delivering allocating capital in a highly disciplined manner and growing cash liquidity to ensure that we're well positioned to manage risks and capitalize on opportunities as they arise. And with that, I will turn the call to Ian.
Ian Webber: Thank you, George. As previously, Please turn to slide five. We split onto two slides the portions of our fleet that we owned up to the beginning of 2021. And those purchase thereafter, essentially during the course of 2021. This Slide 5 shows the former group, our fleet as of the end of 2020. It illustrates our high activity level and the dramatically improved rates and long durations of charter signs over the last year and a half. The light blue bars are those charters which were already in place coming into 2021. The dark blue bars indicate those agreed during 2021. And the red bars a new charters agreed or extensions auctions exercise so far this year in 2022. The trend is clear, rates across have improved significantly. Our contract coverage is strong through at least the medium term. And in many cases, we've been able to secure multi-year charters, but relatively older vessels at rates far above their previous employment. In each instance, the operating leverage in our business means that incremental cash flow goes almost entirely to our bottom-line. The next slide, Slide 6 shows vessels that were acquired during the course of last year 2021. With the dark blue and red bars indicating charters agreed subsequent to them joining the GSL fleet. Again, the trend is clear as the newer charters are at multiples of their prior levels. All in all, we have over $1.9 billion of contract cover over an average remaining duration of 2.6 years. And we've seen our adjusted EBITDA in the first half of 2022 more than doubled compared to the first half of 2021. On the next slide, Slide 7, we provide some illustrative guidance on how our contract cover flows to our earnings. As we said in the past, we need to be clear that this is not a forecast, which is providing three illustrative scenarios that demonstrates a limited degree of market exposure to the end of 2023 and the manner in which prevailing market charter rates would be expected to flow through to our adjusted EBITDA. The assumptions underlying this exercise has spelled out in detail in the EBITDA calculator in the appendix of this presentation. Let me highlight just a few things. For 2022. We have no exposure to the charter market. Aside from unanticipated off fire, unplanned off holidays, revenue streams are essentially fixed for the year 2023. You will have seen that the white bars in the red boxes on the left of each chart, which represents or unfixed revenues have been shrinking in recent quarters. Correspondingly, the bar showing contracted revenue have grown as we've agreed new charters and extension options have been exercised to lock in additional fixed rate cash flow and further limit our charter market exposure through the end of next year. At this point, we have 91% of her ownership days in 2023 covered also note, those vessels that do have availability in 2023 currently on charters below prevailing market rates, implying scope for additional earnings uplift on renewal. The main takeaway from this slide is that under a variety of market scenarios, our adjusted EBIT our pathway is trending positively supported by a high percentage of fixed charter contracts. Turning now to Slide 8 for an overview of our dynamic and disciplined capital allocation strategy. Because our core business needs that is operating expenses for the ships, maintenance CapEx and with quarterly dividends, SG&A are well covered by contracted cash flows. We're in a position to focus our attention on additional capital allocation opportunities, looking at relative returns adjusted for it. Among those opportunities are, return of capital to shareholders, consisting of both our sustainable quarterly dividend which we increased by 50% last quarter to $0.375 per share, and opportunistic share buybacks. During the second quarter, we invested $4.9 million in buying back our shares as part of the $14 million authorization which we talked about last quarter. This brings our total buybacks over the last 12 months to almost $15 million. We continue to look at buybacks going forward, always subject to context. As George mentioned, we're also de-leveraging to manage balance sheet risk and build equity value, as we've done for some time. Beyond basic maintenance, CapEx and regulatory dry dockings, it is clear that evolving market and regulatory demands make decarbonization related CapEx necessity for ensuring regulatory compliance and medium to long-term competitiveness of our ships and viability in the container shipping industry. Notably, the increasing reach of Scope 3 emissions reporting means that our customers, such as the big retailers in the U.S. and elsewhere are now focused on the emission profiles of their supply chains to a greater extent than ever before. As George mentioned, at the beginning of the call, we're focused on proven decarbonization solutions, while keeping an eye on new developments. And we intend to take proactive but measured approach to ensure that our vessels remain competitive, whilst also maximizing their useful lives. We also keep an eye on accretive growth opportunities and fleet renewal opportunities on a selective and disciplined basis. We have demonstrated both a willingness to be patient and the capacity to act decisively when an appealing and accretive growth opportunity arises. And we will maintain that posture. And more generally, we are building cash liquidity, both for resilience and for optionality, valuable qualities in an uncertain time and within a cyclical industry. When considering risks to these capital allocation paths, we're acutely aware of things like forward visibility or lack thereof, of our contracts that cover the macro environment, industry cyclicality, evolving regulations and the changing decarbonization landscape. Fundamentally, we're focused on generating long-term value for shareholders through a balanced approach that is sustainable in a cyclical industry. With that, I'll turn the call over to Tassos to talk you through our financials.
Tassos Psaropoulos: Thank you, Ian. On Slide 9, we have summarized our first half 2022 financials and highlights. Revenue for the first half was $308 million up from $156 million in the prior-year period. Similarly, adjusted EBITDA for the first half was $190 million, up from $94 million first half of 2021. Our normalized income, which adjust for one-off items increased from $41.5 million in the first half of 2021 to $137 million in the first half of 2022 and multiples of 3.3 times. Moving to the balance sheet items, I would highlight the following for the six month period. Recently, we completed the U.S. private placement of $350 million of privately rated investment grade debt, priced at 5.69% which consists of 2.84% at 3.2 years interpolate U.S. Treasury yield plus a margin of 2.85% and use the funds to fully redeem our 8% senior unsecured notes due 2024 as of July 2022. Fully repaid are $197.6 million outstanding balance on our LIBOR plus 7% Hayfin credit facility due 2026 and fully repaid are $39.7 million Hellenic LIBOR plus 3.9% facility due 2024, which also freed up five ships that are now unencumbered. We favorably amend the covenants and extended the maturity to December 2026 of our LIBOR plus 3% syndicated loan facility with an outstanding balance of $197.2 million. Those amendments freed up three ships from the syndicated loan security packets, and we subsequently raised a $60 million syndicated loan against those three ships at LIBOR plus 2.75 with maturity in 2026. In a move that we're more pleased about it today, we have put in place interest rate caps at 0.75% LIBOR for all of our floating rate debt. We also put in place 14 million share buyback authorization of which we have already utilized $4.19 million. Finally, we are paying a quarterly dividend of $0.375 per share, $1.5 per share annualized, which we increase to that level last quarter. Now on Slide 10, here's a summary of our key capital structure developments over time. In the upper left is our scheduled amortization in the coming years. We believe that an aggressive amortization schedule is prudent for our business, and we utilize our cash flows to be leveraged while limiting our exposure to refinancing risk at loan maturity. Our detail amortization schedule is in the appendix of this presentation on Slide 26. On the upper right, you can see that we have continued to reduce both the margin of our debt and our overall cost of debt even in the current inflationary environment. Overall, we have reduced our average margin from 4.6% at the beginning of the year to under 3.1% now and our total cost of debt now stands at just over 4.5% against the backdrop of an increasing interest rate environment. These improvements reflect our significantly strengthened balance sheet and support long-term competitiveness as a lessor. On the lower left, you will see that the trading liquidity in our stock while reduced recently as a result of a sector wide pullback in valuations, remained substantially above earlier levels help we believe by a material increase in our public float and trading in our stock. With that, I will turn the call over to Tom.
Tom Lister: Thanks, Tassos. As usual, and for the benefit of listeners who are new to GSL. Slide 11 is intended to highlight the ship sizes on which our business is focused, and which will help the subsequent slides in context. So GSL is focused on midsize and smaller ships, which is shorthand for ships ranging from about 2,000 TEU up to about 10,000 TEU which is effectively the liquid charter market. The top map on the left shows the deployment of all our sizes of ship, i.e. ships under 10,000 TEU and emphasizes the operational flexibility. As you can see, they're deployed everywhere. The bottom map on the other hand shows where the big ships, those larger than 10,000 TEU are deployed, which tends to be on the East West Mainlane or arterial trades where the cargo volumes and shoreside infrastructure can support them. And it's important to note that over 70%, 70% of global containerized trade volumes are moved outside the Mainlanes in the North, South Regional and intermediate trades served primarily by ships like ours. In his opening remarks, George acknowledged the cloudier macro and geopolitical outlook that we're all currently facing, and the uncertainty that that may bring to the consumer demand front. But as usual, rather than trying to second guess how containerized demand itself may or may not evolve, we prefer to focus on the supply side where we do have visibility and against which investors and others can set containerized trade or GDP growth projections as they feel appropriate. Slide 12 shows the supply side trends that are barometer of health for the sector. The top chart shows idle capacity, which remains below 1%. So effectively full employment of the global fleet. The bottom chart tells a similar story, container ship recycling, scrapping was almost non-existent for container ships in 2021 and has fallen to zero year-to-date in 2022. Both these factors are symptomatic of the continued demand from liner operators for the limited capacity available in the market with even the very oldest ships finding continued employment. Slide 13 looks at the order book. Here you can see on the left, the composition of the order book by size segment covering deliveries scheduled to take place all the way through into 2025. Now, undeniably, the order book has expanded during the course of the last 18 months or so, reaching an overall order book to fleet ratio of 29.9% at the end of June. However, it continues to be heavily skewed towards the bigger ships over 10,000 TEU, for which the order book to fleet ratio is 52.3%. Meanwhile, our focus segments of 2,000 TEU to 10,000 TEU highlighted in the red box have a significantly lower ratio of a little over 15%. And there are two important points to keep in mind when assessing the order book. The first is that midsize and smaller container ship fleet is aging. As you can see from the chart on the right, if scrapping were to continue to be deferred, by the end of 2025, a substantial slice of the sub 10,000 TEU capacity currently on the water, about 1.5 million TEUs worth would be at least 25 years old, and candidates for the recycling yards. Net this out against the total order book of sub 10,000 TEU due to be delivered through to the end of 2025. And you would get implied net growth in these sizes of just 5.5%, which itself would be spread out over the coming 3.5 years or so. The second point is that 2023 marks the implementation of the new environmental decarbonization regulations, which according to growing industry consensus is expected to cause a slowing down of the global fleet to reduce emissions, thus reducing effective supply. To put that in context, reducing the average operating speed of the global container ship fleet by only one not is calculated by MSI, which is the independent consultancy we use to reduce effective supply by 6% to 7%. So, while macro uncertainty is very real, and the order book is growing faster than we would ideally like, we still see the supply side fundamentals for our focus sizes as supportive. Which brings us to slide 14, the charter market as you can see from the chart, while the charter market continued to firm through the first quarter of this year, upward momentum tailed off during the second quarter, albeit remaining at cyclical highs. Capacity is still tight, and demand is still there. Hence the new charters including the forward fixtures we've just announced, but the market is for the time being lacking the same firm direction we saw in previous quarters, and is probably best described as in the title of this slide as being in wait and see mode. On this basis, you will see on the right hand side of the slide that we have softened a little our guidance on term charter rates and durations available in the market for prompt tonnage today, still extremely attractive, but slightly off the all-time peaks we saw earlier in the year. And with that, I'll turn the call back to George to wrap up. George?
George Youroukos: Thank you, Tom. I would provide just a brief summary and then we would be happy to take your questions. With $1.9 billion of contracted revenue spread out over an average of 2.6 years. We have a debt service, CapEx, and dividends for 2022, 2023 and much of 2024 fully covered. With no reliance upon charter renewals. While we continue to focus on additional forward fixtures. We have a great balance sheet that is stronger than it has ever been. And have continued to reduce our cost of debt in the context of a rising interest rate environment and follow on aggressive amortization schedule, allowing us to both de-risk the balance sheet and build equity value. We then to build further our cash liquidity, both for resilience and to be able to take advantage on a highly disciplined basis of any accretive dividend supporting growth opportunities that may arise. Our fleet of high refer midsize post Panamax and smaller container ships is in the sweat spot of the market and supported by supply side fundamentals. In fact, effective capacity in our segments may shrink from 2023 due to new regulations that will slow vessels down. The macro picture is clouded by uncertainty. And we have seen sentiments softening relative to recent quarters and Linus taking the wait and see approach. Nevertheless, the global fleet is effectively fully employed, charter markets remain close to their cyclical highs, and the liners are forecasting another year of exceptional earnings in 2022. Finally, we're allocating our capital in an accretive and balanced manner to maximize long-term value. As evidenced by the doubling of our adjusted EBITDA, and more than tripling of normalized net income over the last year. We're paying a highly sustainable quarterly dividend equating to $1.50 per share per year, and have also spent almost $15 million on share buybacks within the last 12 months. And I will conclude by repeating for emphasis that we are building cash liquidity for resilience optionality and to ensure that the GSL fleet remains competitive on both the general performance and decarbonization basis, in line with evolving customer demand and regulations. With that, we will be happy to take your questions.
Operator: [Operator Instructions]. Your first question is from line of [indiscernible] with Jefferies. Please go ahead.
Unidentified Analyst: Thank you. Hey, guys, good afternoon. Obviously, congratulations on a pretty solid quarter. And really further strengthening the balance sheet. I did want to ask maybe just on your comments regarding the wait and see mode that charters have currently. Obviously, there's been commentary of liners taking a step back and kind of assessing what to do in terms of chartering shifts as they become available. Except that, of course, you guys just fixed four of your shifts for five years at a pretty attractive rate. So maybe just in general, could you do to qualify a little bit that wait and see mode? Does that apply to, as you show on Slide 4 the different ship sizes? Where would you say that that's actually happening in a meaningful way and whether the, what size range is probably more effective by the way, and which ones at the moment are still looking firm? If that's the case?
Ian Webber: Hi, thank you. Thank you for the good question. I will try to give my opinion, then Tom also will join me. I think right now, every day we hear more news on the inflation and the possible slowing down of the economy. IMF comes out with reducing forecasts, and so on, so forth. So learning companies like us, they don't have a crystal ball. So they are worried about demand going forward. And obviously, that puts the let's say, wait and see mode that they are in. On the other hand, what they all know. And this is a right now it's happening in our industry, it's a lot of questions, a lot of answers a lot of analysis a low projections on 2023 speed of the sips, in accordance with complying with a new EXI/CCI requirements. So the liner companies are asking us guys, you know this ship in order to be EXI compliant, what's the maximum shift we can do? And then the next question comes in on the basis of 2021 performance, what's her CII looks like? And what can we do to make the CII within the acceptable limits with ABC rather than DME. And I don't know if anybody has seen the article of yesterday from Mr. [Indiscernible] who is the head of Mask, who said that according to, to what is going to be the new regulations, there's going to be a shortage between 5% to 15% for at least mask if I recall the article, right of steps, because of the slower steaming. In other words, the same ships in order to moving slower, they're going to need to be 15% more ships to make the same job. So right now, something that investors do not know if there is a big, let's say, analysis happening in all liner companies on seeing the existing fleet that they have, what speed they can achieve next year, in order to be compliant. And that speed probably is two three knots sometimes lower than, than it is today, easily 15% lower than what it used to be in 2021, at least from what we see. And it's not just the speed, it's a lot of other things. Once the ship has to stop and sit in an anchor, it's wait for forgetting the birth because of congestion that destroys the CII rating of the ship. So congestion doesn't help and congestion makes ships to have to move even slower than they would have if there was no congestion. I don't know if I'm becoming too technical, but I'm just trying to give you guys real time information rather than just tell you generally this. So that is on one hand it's like a balance. On one hand, we have this question mark of slow speeding and everything, reducing supply of ships. And on the other hand, we have the economy, which there's a question mark, with inventories and stuff going up of reducing demand. So which side the balance is going to tilt? It's the question, I think, in the heads of Lennar companies. So in this respect, they are obviously wanting to secure the ships that they feel are of primary use, the important ships of them. And they feel a little bit less interested in securing the less interesting ships. I'll let Tom speak about that more.
Tom Lister: Sure. Thanks, George. Omar to address your question on size. We've got I think seven ships ranging from about 2,200 TEU up to 3,500 TEU coming open within the next six to nine months or so. And when we analyze the rest of the market, and ships coming open of comparable size within the next six months or so, there are only roughly 20 to 30 in the overall market. So there's still very limited capacity coming available. And as a result that is generally supportive of being able to find employment for those ships. But as George said, the lines are holding their horses a little bit and waiting to see both how the macro plays out and how this new regulation begins to play out. Because it's all theoretical, we won't really know until it actually sort of comes into play for the industry. But nevertheless, we think the outlook is comparatively supportive from a supply side perspective. So the caveat is really upon the demand side. I don't know if that addresses the questions you had. And I would also add that within that context, we are supremely aware that lines are going to be focused not only on decarbonization, but also in a high fuel environment on reducing fuel burn. Now both of those arrows point in the same direction, which is to make ships a more efficient, so invest in decarbonization, energy enhancements, and B also slow the ships down. And we see that as helpful on both fronts. I'll pause there.
Unidentified Analyst: That was very good and very detailed. And yes, just a couple of maybe follow-ups to that. Tom, I think is you mentioned the, I guess in that size range, it does sound somewhat familiar, similar dynamic, I guess took place, if I recall last fall where there was a wait and see attitude around maybe October, November. And then they finally opened up and took those ships in? The -- I guess in terms of George has been mentioning regarding the CII and that sounds fairly significant. So I think up to this point, it's felt maybe a little or maybe too big picture. But it sounds like it's really happening where there's real tangible activity in terms of liners looking to slow down or preparing to slow down. And Tommy had mentioned, each node is what 6% of the fleet and so it's indeed those three, if we're talking three knots, that's right there. We're that's 18% of the fleet. Do you think that's a mistake? I mean, it sounds like it is just based off of your commentary, but it is that kind of where the markets heading?
Tom Lister: Well, I mean, that's sort of where the consensus sits at the moment, I think, to echo what George said. According to the article covering Soren Skiles comments, they talk about 5% to 15%. They very wisely are offering a range in terms of where shortfalls in capacity may come as a result of slowing down the fleet. So I don't think there's any dispute, at least that I've heard about the idea that slowing down the fleet is going to be necessary in order to meet the decarbonization regs, but the only question is, by how much and that's going to be speculation for the time being until 2023 when it actually kicks in. But you're right, 6% to 7% for each not have average operating speed that the fleet slows down is the number we have.
Unidentified Analyst: Interesting, very good. Thanks for that. And I just have one follow-up on the swaps that cover the floating rate that with LIBOR at 75 bps. Just wanted to ask how far how far up is that, the floating rate that?
George Youroukos: The interest rate caps and here tassels can correct me, but I think they go out as far as 2026 or follow the same amortization as the existing debt.
Tassos Psaropoulos: It actually -- sorry, I didn't hear very well, it actually follows the amortization that we have in lined on January that we have closed the facility and it goes up to 2026.
Unidentified Analyst: Got it. Okay, so just entire life of the facility.
Tassos Psaropoulos: Correct.
Unidentified Analyst: No, very good. Okay. Well, thanks for taking my question. I'll turn it over.
Tassos Psaropoulos: Our pleasure. Thanks [indiscernible].
Operator: Your next question is from the line of Liam Burke with B. Riley. Please go ahead.
Liam Burke: Thank you, and how are you today?
Ian Webber: We're well. Thank you. How are you?
Liam Burke: I'm fine, thank you. Can we talk a bit about acquisitions, you've been very opportunistic. Obviously, you don't see a lot of opportunity out there because you bought back your stock, presumably at a better return? What does the asset acquisition market look like now? Are you seeing any lightening up with spot rates sort of moving down?
George Youroukos: Yes, Liam, we do seeking and continuously we discuss and evaluate sale and leaseback deals, which are not really market related. Those deals have nothing to do with where the market is today. Those are financial transactions that. We just buy the asset at a specific price. Unlikely to the market price usually less and we get a lower shutter rate. But that's justice certainly is back. These deals were continuously look and evaluate. We haven't found yet something to make us overexcited. But there's a number of those deals coming and actually as we go into the summer, we believe in the fall. We're going to see more of those given all these technical issues about slowing down ships, et cetera. On opportunistically buying ships that do not have a charter, right now the prices are too high for us. And that's why we haven't done anything for the last 12 months. We will see we expect once the markets softens, we will see opportunities coming into the market. It's the usual cyclicality. And that's what we know how to do. We know how to buy ships at the right time, and then make them away in a better market or put ships on long-term employment and give great results and EBITDA. But we do not think that this is going to happen in the immediate future of the next, let's say, six months. We only think that in the next six months, the opportunities will probably come if they do come from certain leaseback transactions.
Ian Webber: And, Liam, if I can just add to those remarks of George, I mean to some extent, although I agree with everything that George has said about the cyclicality of the market and the nature of opportunities, which we haven't seen anything that meets our criteria or would meet our criteria over the course of the last well over 12 months. It's also a little bit academic, because the cash that we're generating is we're beginning to harvest from the acquisitions we made last year and from the charters but it's only really going to start to accumulate towards the back end of this year. So there hasn't been a huge amount of let's say, cash to put opportunistically to work, even if we were to wish to do so. Although obviously, where are we do buy chips, we will be able to put debt against them. But I just wanted to make that point. There isn't a huge amount of discretionary cash sloshing around to be deployed opportunistically at the moment.
Liam Burke: Fair enough. Also, on your most recent recharges, I believe that they were for 60 months and a nice premium to what you've been earning. Now looking at the remaining vessels, are you looking at a significant trade-off between rates and duration and how is that working out?
Ian Webber: Okay, so there isn't a sort of a neat answer to that, unfortunately, Liam. As I said, we've got seven ships that are coming open in the next six to nine months, I would say that the charter market is waiting to see on both sides. We're in no hurry to fix the ships, we've got great charter coverage as it is. So, we're not panicking to fix them. And the lines, as we mentioned earlier, are in a bit of a wait and see mode to try and understand how the macro is going to play out and how the regulations are going to play out. So at least on the on the smaller ships, it's more challenging to put in place forward fixtures, however, we are continuing to look at forward fixtures for some of the larger tonnage. But obviously, if and when we have something to report, we will report to the market, sorry, a slightly elusive answer in a way.
Liam Burke: Well, wait and see is a good answer. All right, well thank you very much.
Ian Webber: It is my pleasure. Thank you.
Operator: Your next question is from the line of [indiscernible] Value Investor's Edge. Please go ahead.
Unidentified Analyst: Good morning. Thank you for taking my questions. I wanted to start by asking about environmentally related CapEx going forward. Could you provide some commentary on the investments you'll be making? And secondly, do you believe you'll be able to recoup part of those investments from charters for example through a higher rate than previously agreed?
Tom Lister: Hi, Clement, this is Tom Lister talking. Thanks for the question. Okay, how to answer this elegantly, we're in conversations with charters on this the nature of which is commercial and somewhat confidential. But I think the easiest analogy to draw between what is happening now when it comes to decarbonization, and what we have done in the past with scrubbers, so installing exhaust gas cleaning systems on ships is that we only installed those scrubbers against either a rate uplift, so an earnings uplift or a contractual extension, or indeed both. So yes, we would expect any CapEx spent on decarbonization enhancements to translate into an increase in EBITDA on the corresponding vessels over time, number one, and number two, if you enhance the vessels, you're left with a more valuable asset, i.e. a more commercially attractive asset, which is likely to be more sticky, let's say for the charterer with whom we would have coordinated the enhancements. Hope that covers your question, but have to follow, cover any follow-ups?
Unidentified Analyst: No, indeed, it does. And in April, you repurchased around 5 million worth of shares, but no repurchases were conducted thereafter, despite the lower share pricing. Was this due to the refinancing transactions? And secondly, as free cash flow ramps up going forward, how do you plan on balancing share repurchases with potential acquisitions?
Tom Lister: Ian, you want to take that?
Ian Webber: Sure, yes you are right, we did opportunistically buyback around $5 million worth of stock in April. We were focused on the refinancing transaction. But we made a conscious decision not to repurchase stock in the last quarter. We've mentioned our desire to build cash liquidity for resilience to take advantage of opportunities down the line. Thomas has mentioned already and we've talked on previous earnings calls, that the increase in cash flow associated with our chartering activity over the last 12 months really doesn't flow until towards the end of this current year. So we've had limited cash available to repurchase stock or make acquisitions in the context of what Tom said. But we remain very open to deploying the remaining $35 million. The authorized amount that we have from our board on an opportunistic basis is always risk adjusted. It's always a judgment call. We understand that, some people would have different views on ours. Our decision has been to wait and see on stock in cash and capital allocation and stock repurchases.
Unidentified Analyst: All right, thanks for the color. That's all for me. Thank you for taking my questions and congratulations for the quarter.
Ian Webber: Thank you.
Operator: Your next question is from the line of Frode Morkedal with Clarksons Securities. Please go ahead.
Frode Morkedal: Thank you, hi George.
George Youroukos: Hi, Frode, just market question really. There's been a lot of talk about counterparty risk, particularly for lining companies, which have these multi-year contracts at elevated rates. It's likely that these rates could be tried to reduce if spot rates go down, I mean, talking about Box rates now. How would you think about it for you guys on the time charter counterparty risk? Do you see that as a real risk or is something that is unlikely to happen?
Ian Webber: I will give this a go. We think it's highly unlikely to happen. Maybe the container shipping industry along with the rest of the global economy went through some incredibly difficult times, after 2008-2009. And the liner companies honored all of their contracts, not just with us, but as far as we know. And I think we would know pretty much with everybody else and all line accompanies by one, and survived that deepest, most extended downturn ever. We have fixed rate non-cancelable time charter contracts with our counterparties, who are in a strongest position that they've ever been, because of the earnings that they've been generating over the last 12 or 18 months. Those contracts have been tested throughout history, both in practical terms and also legally. So we really don't have any, we're not losing any sleep about the prospect of counterparty default.
Frode Morkedal: Understand, that's great. And that brings me to the next question with switches. When you look at the EBITDA calculator you have, even if you guys factor in the low-end or the 15 year time charter rates, you basically have free cash flow after debt repayments of more than $100 million this year, and more than $200 million free cash flow next year. You don't say anything about 2024 but for my calculation that is similar to 2023. So basically, you have $550 million in the free cash flow, in the near future. And I understand that you're, you need to see the cash coming in and the cash being available before buying back to stock. But basically, if you look at the free cash flow per share, it sums up to $14 per share. So it's quite significant. So in my view, I would urge you to buy back shares, when you can of course, do it.
Ian Webber: Yes, I've indicated while I've given the reply to that or made some comments on that subject, so just earlier further, the practical matter is that we don't have spare cash at the moment, that builds towards the end of the year. And we take most of your comments and the similar comments that we have from other folks who are interested in GSL.
Frode Morkedal: Yes, good. Even if you don't buy back shares, of course it's a massive deleveraging opportunity as well. So anyway, that's all for me. Thank you.
Ian Webber: Thanks, Frode.
Operator: Your next question is from the line of Brett Hendrickson with Nokomis Capital. Please go ahead.
Brett Hendrickson: Hey, how's it going, guys? Frodo, actually asked was on the same wavelength as me there. I wanted to ask about a couple of those things. And maybe I'll go, maybe just adjust the question a little bit but before that, Tassos I wanted to make sure I heard you right on the -- were you giving the average weighted interest going forward after these refies?
Ian Webber: Yes, we have reduced the margin, as we have mentioned to below 3.1%. Any general along with hedging, we have managed to secure the company that it will remain at a low cost more or less the level that we are right now.
Brett Hendrickson: Okay, so then with the hedging locked in and with LIBOR, what's your average rate then understanding the rates 3.1?
Ian Webber: It is around 4.5 right now, which I believe that it will be more or less the same.
Brett Hendrickson: Okay, good. I have heard the 4.5 in the prepared remarks. And I thought I heard you run, but that's great.
Ian Webber: Yes, so you can see the analysis, if you want on Page 10 on our presentation of how we do.
Brett Hendrickson: Okay, and I had modeled interest and other finance expense next year going down, but I think I'm going to revise that because I think it's going to go down even faster. And you just told Frodo that you don't have any counterparty risks. And so I guess, and we know that this cash is going to come in Q4, I guess, why not? Why not use line of credit availability to buy stock now, just in case the stock is way higher in Q4, when the cash comes in to kind of massage that difference a little bit.
Ian Webber: We've thought about lines of credit, we don't actually have one at the moment. We could probably get one if we wanted to. And we've been focused on the refinancing. But it's most certainly an idea we can look at.
Tom Lister: Yes, if I may add.
Brett Hendrickson: Yes, I would just.
George Youroukos: Yes, we don't want to add more debt on the company right now, as we have managed to have an excellent rating with rating agencies. And it looks like we're going to get upgraded, hopefully very soon on Moody's also. So if we get more debt without just to buy back our stock, it would hurt our rating, I'm sure. And that that wouldn't be great for the company.
Brett Hendrickson: I agree.
Ian Webber: Sorry, just a quick, a quick clarifying remark there, we're not suggesting that Moody's is expecting to upgrade us. George is referencing the fact that they've changed the outlook from stable to positive, just to be clear.
Brett Hendrickson: Yes, and I would think that Moody's and really all people involved, whether they're lenders or equity investors, but also understand that I mean, I mean for every 10 million of stock you buy back at these prices, you are saving almost a million dollars on dividends, which isn't the same as interest because it's can always be canceled. But Moody's and other places know that you don't, other rating agencies know that you don't like to cancel the dividend. So they take the dividend burden into consideration. But I mean, you're reducing the dividend. Can you remind us that the $181 million of cash that's there, I know when we talked back in January and February, some of that was tied up on…
Ian Webber: No, no, no, the $180 million that you actually see in our cash and cash equivalent balance sheet right now, it also includes a portion that have been already used in order to eliminate the 2024 no exposure around $92 million, you will find that in the subsequent events. So it more or less releases half of it as a free liquidity. And in that case, we also have out of these three liquidity covenants of a little bit higher than $20 million which is related to the free minimum liquidity, loan covenants that they are throughout our facilities.
Brett Hendrickson: Besides any work, you may need for operation and all of that, so you're going to living something like 70 something million of free cash, which in this case, it includes also the working capital, the operation that you may need and everything?
Ian Webber: Yes, okay. So there's yes, so until some more of that cash flow comes in, there's just some room to buy back stock, I would think within that $90 million remaining, knowing that you had to set aside 10 or 20 for one of those longer-term contracts. But I would think there's given that there's cash coming in, but we can talk more offline. I just wanted to make sure you guys weren't missing the opportunity. I think it is kind of a gift that you're able to buy back stock at such a high free cash flow yield when you got so much free cash flow between now and the end of 24 locked in with fleet. With effective fleet capacity being reduced by the reductions and speeds that the liner company is going to have to do. It just seems like a unique moment in history to take advantage of it. As we've talked about in the wintertime, I just don't want you guys to miss it. And we're pretty understanding of hey, the $40 million is going to be backend weighted, I were if it's too back end weighted, you'll miss the opportunity completely. But I think we're on the same page. And I appreciate it, all the work you guys are doing all your time. And we can chat offline as needed. Thanks.
George Youroukos: Thank you, Brett.
Operator: And at this time, there appear to be no further questions. I will turn the call back to Ian for any closing remarks.
Ian Webber: Thanks very much. Thanks everybody. Thanks for listening. Thank you for your questions. We look forward to giving you an update on our progress and discussing our Q3 results at the normal time, which would likely be early November. So we'll talk to you then. Thanks very much.
Operator: This does conclude the Global Ship Lease second quarter 2022 earnings conference call. Thank you all for joining. You may now disconnect.